Operator: Ladies and gentlemen, welcome to the Bouygues First Quarter 2020 Results Conference Call. I will now hand over to Karine Adam, Head of Bouygues Investor Relations. Please, go ahead.
Karine Adam: Thank you. Good morning, ladies and gentlemen. I would like to remind everyone that you can find on the company website at www.bouygues.com the earnings press release, the presentation we will be commenting on during this conference call, an Excel file with historical key figures for the group and each business and the company financial statement. Statements made on this call are forward-looking statements. Such statements reflect objectives that are based on management's current expectations or estimates and are subject to a number of factors and uncertainties that could cause actual figures to differ materially from those described in the forward-looking statements. I will now turn the call over to Pascal Grangé, Chief Financial Officer of Bouygues.
Pascal Grangé: Thank you, Karine. Good morning to all of you and thank you for joining us. I would like to welcome everyone to our conference call to discuss Bouygues' three months 2020 results. First of all, in these unprecedented times, I hope that you, your family and your friends are all well. With me in the room is Christian Lecoq, CFO of Bouygues Telecom. Following our comments, we will be answering your questions. We are currently facing a situation that we have never experienced before and doing our best to act as a responsible player during this COVID-19 crisis as highlighted on slide four. In France, our businesses are mobilized to ensure that essential services to the population are maintained, such as communication, the ability to work from home in good conditions, information on current events and as well as the maintenance of critical buildings. The group recognizes the major efforts of its stakeholders and has taken actions to act responsibly and support these efforts. It has already announced that Martin and Olivier Bouygues decided to relinquish 25% of their 2020 fixed and variable remuneration. The Board withdrew the dividend payout proposal at the latest Annual General Meeting and will reassess the situation in late July or early August. And Bouygues Telecom supported its small and medium enterprises partners by promptly paying their invoices in April and May, without waiting for the legal deadline. Bouygues has also taken actions to support caregivers in this crisis. The group distributed 1 million European standard surgical masks to the French health authorities. Donations and financial contributions were made notably to the Red Cross and hospitals. Furthermore, Aximum, which is a subsidiary of Colas partly reorganized one of its plants to produce hydroalcoholic gel as you can see in the picture on the right of the slide. Moving to highlights for the quarter on slide five. The initial effects of the COVID-19 pandemic were evident in lower results. However, in these challenging times the group has maintained a strong financial position with €10.3 billion of available cash in March. At the end of the quarter, the backlog in the construction businesses remained at the high level of €33.5 billion. It's important to note that Bouygues Telecom proved resilient, as it has been less affected by COVID-19 in its commercial and financial results. As a reminder, as announced on 1 of April, 2020, outlook for the group the Construction businesses and TF1 was withdrawn and 2020 objectives for Bouygues Telecom were suspended. Let's now turn to group key figures on slide 6. Q1, 2020, results reflect the usual effect of seasonality and the impact of the lockdown in France since mid-March. Group sales of €7.2 billion in the first quarter of 2020 were down 9% and down 8% like-for-like under the constant exchange rates, compared to the same period last year. The resilience of Bouygues Telecom, as well as a good start of the construction activities and TF1 in January and February did not offset the significant decrease in activity from mid-March, mainly due to the decision of the French government to lockdown the country. The sales decrease of €714 million year-on-year is entirely due to the COVID-19 crisis. Indeed, we estimated that the first quarter of 2020, COVID-19 had an impact of around €750 million, of which €600 million was in France. Several items explain this decrease. First, in construction activities, we experienced an almost complete interruption of work in France on mid-March, and to a lesser extent, a slowdown or shutdown of activity in around 10 other countries. Second at TF1, we faced a gradual cancellation of advertising campaigns since March. And finally, at Bouygues Telecom, we separate from the mid-March closure of all stores. Current operating loss was €242 million in the first quarter 2020, an increase of €184 million year-on-year. This change is mainly due to COVID-19, despite the early mitigation measures implemented by the businesses. The estimated impact of COVID-19 on current operating loss is around €170 million. It reflects both a loss in current operating margin and unavailable costs in the three activities such as employee fixed costs and amortization expenses. Net loss attributable to the group was €204 million in the first quarter 2020. It includes -- it included a contribution from Alstom of €35 million versus €33 million one year ago. Finally, let me remind you that, like every year first quarter earnings, are strongly impacted by Colas seasonality on IFRIC 21. Let us now turn to slide 7, that shows that the group maintains a strong financial position. The chart highlights that at end March 2020, available cash stood at €10.3 billion with €4.1 billion in cash and €6.2 billion of undrawn medium and long-term facilities that contain no financial covenants. Moreover, the debt maturity schedule is well balanced with no debt. Please also note that first, this schedule has yet to include the €1 billion bond issued in April, carrying a fixed coupon of 1.125% with a redemption date in 2028. This new bond issue brings available cash to €11.3 billion at media telecom. And second, we would redeem €1 billion of bonds due in July 2020. Moving to slide 8. You can see that the COVID-19 had no material impact on the €3.6 billion net debt at end March 2020. The change between end December 2019 and end March 2020 is explained by the usual seasonal effects. The positive change in net debt between end March 2019 and end March 2020 is mainly due to the inflow of €1.4 billion related to Alstom. This robust financial position is key, particularly in this crisis. Let's now turn to slide 9 to see the net debt evolution between the end December 2019 and end March 2020. You can observe that the increase over year-end is explained by three items: first, a moderate outflow of €37 million in acquisition and disposals, resulting mainly from the acquisition of Granite contracting by Colas in the U.S. Second, an inflow of €8 million linked to capital transactions and other, including the share buybacks, the exercise of stock options, on the remainder of reconstruction capital increase reserved for employees. And third, an outflow of €1.3 billion from operations stable year-on-year that we will detail in the next slide. Turning to the breakdown of operations for the first quarter on slide 10, you can observe that. Net cash flow including leases expenses, was down Ē69 million year-on-year. This decrease was led by the three construction business segments and TF1. Net CapEx was up €21 million, mainly due as expected to Bouygues Telecom and to a lesser extent TF1. Net CapEx for construction activities were down, reflecting early adjustments due to COVID-19. Last, change in the working capital requirement and other improved by €75 million, mainly explained by the positive change in working capital requirements related to operating activities. We expect the pandemic to have an impact on the group's working capital requirement and net debt for the full year of 2020. It is too early to quantify amount since feasibility remains very low and it will depend on how customers react to a situation we have never encounter before. In the second quarter, we should see a distortion of working capital requirement related to the shutdown of activities that should recover over time. I will now turn to the review of operations, starting with the construction businesses. Let's begin with the backlog on slide 13. At €33.5 billion, the backlog in the construction businesses remains at the high level at end March 2020. As you can see on the chart, it is the second highest level in the past five years. The commercial momentum at Colas and to a lesser extent the Bouygues Construction remain good in the first quarter 2020. Colas backlog at end March was up 3% year-on-year restated from many disposals and acquisitions and at constant exchange rates. It remains stable in roads and improved strongly in rail. Bouygues Construction backlog has not include the C1 stretch of the high-speed rail line project in the U.K. worth €1.1 billion, which will be taken into orders in the second quarter. Last, Bouygues Immobilier’s backlog suffered as expected from a decline in reservations. Residential reservations were down 16% year-on-year as delays in obtaining building permits linked to municipal elections resulted in lower supply. The overall backlog at end March 2020 was down 3% compared to the same period last year. Let's now look on slide 14 at a few major contracts won by the construction activities. In the first quarter, Bouygues Construction gained several contracts. On the upper left of the slide, we show the construction of the control center for line 16 and 17 of the Grand Paris Express worth €141 million. Just below that picture, we see the completion of a housing complex in Monaco worth €115 million. On the upper right of the slide, we displaced the building of a combined cycle gas and steam power plant in Leuna, Germany worth over €100 million. Furthermore, as shown on the bottom right of the slide, Colas notably won the construction of two highways and the taxiway in Alaska worth €75 million. Let's now look at the construction activities key figures on slide 15. Q1 2020 results of the three business segments were impacted by the sharp decline in activity since a lockdown in France and endeavoring countries such as Belgium, Switzerland and Italy. Despite the good start of activity experienced by Colas and Bouygues construction in January and February, sales were down 12% year-on-year at €5.2 billion in the first quarter of 2020 and 11% like-for-like at constant exchange rates. This €686 million decrease was entirely explained by the COVID-19 as we estimate its impact to be around €700 million in the first quarter. Since the lockdown started mid-March in France, the decrease was particularly strong at 18%, whereas, international activities prove more resilient with a decline in sales of 4% despite the slowdown or shutdown of activity in about 10 countries. We expect international sales to be further impacted in the second quarter in line with the spread of the pandemic. Bouygues Immobilier was also penalized by the long supply in residential property development, resulting from delays in obtaining building permits linked to the 2020 municipal elections, which are not yet over. This situation has worsened since the COVID-19 crisis. The current operating loss was €140 million larger than last year despite early mitigation measures implemented through cost savings in France of partial unemployment for an average of almost one-third of Bouygues Construction and Colas working hours in March. We estimate that the impact of COVID-19 and current operating loss was around €150 million in the first quarter more than the increase in the loss compared to last year. Let us now turn to slide 16. Before the end of the lockdown, the construction activities has been planning and organizing to progressively restart the activity in France. They have capitalized on Bouygues Construction experience in Hong Kong, which we started its business in February after lockdown of 15 days, before resuming work for some essential requirements must be satisfied. Personal protective equipment, clients' agreement and the availability of the supply chain and of employees. Since mid-March, the business segments have gradually re-launched their activities in France. By mid-May about 90 of sites have been restarted at Bouygues Construction at Bouygues Immobilier and 85% of road work site at Colas. The productivity is affected by the safety precautions, particularly in buildings due to limits on people from different trades working simultaneously. Outside of France, the situation is mixed depending on how it affected the countries are by the COVID-19 prevention measures. We expect the activity to credibly resume when the relevant conditions are satisfied. Finally, a number of external factors could foster a recovery of the construction businesses, such as introduction of economic stimulus plans and the launch of sustainable construction projects to deal with the outcome of the crisis. Now, let's talk briefly about TF1 as its results have been released on 19th of April. Turning to slide 18, TF1 audience share was maintained at a high level during the third quarter. Nevertheless TF1's financial performance was hit by the COVID-19 crisis as sales year-on-year were down 9% like-for-like and at constant exchange rates. These were affected by the gradual conciliation of advertising campaigns, since March and the discontinuation of production shooting activities since the lock down. Current operating profit reached €42 million, including cost savings and programming of €23 million. In the first quarter, we estimated that the COVID-19 impact on current operating profit was around €13 million from both loss of current operating margin and unprofitable costs. As stated on 1st of April, TF1 will do its 2020 outlook and expect that the COVID-19 crisis will have a very strong impact on second quarter 2020 results. Now let me turn the call to Christian Lecoq.
Christian Lecoq: Thank you, Pascal. Starting with slide 20, you can see that we benefited from a commercial performance, during the first quarter 2020 despite the slowdown in net cost since the mid-March lockdown. In mobile, we won 113,000 new plan customers excluding MtoM. In FTTH net adds continued to grow with 170,000 new customers joining us during the first quarter of 2020. With a total of 1.1 million subscribers FTTH customers represented 28% of the fixed customer base at end March 2020, compared to 18% one year ago closing the gap with its competitors. Overall at end March 2020, Bouygues Telecom service 11.7 million mobile plan customers M2M and four million fixed customers. As you can see on slide 21, COVID-19 had a strong effect on usage. First in mid-March we saw a sharp increase in mobile and fixed usage compared to the beginning of the month. Average voice usage per day in mobile increased by 50%, while average Internet usage per day in Fixed was up 30%. Since the entry into lockdown Bouygues Telecom demonstrated its ability to maintain the quality of its network to support a sudden and massive traffic increase. Second starting in February, we observed a fall in roaming usage tied to the closures of the borders of China followed by the U.S. and likely in Europe. Roaming usage in the next quarter remains uncertain. It will depend upon border happening and clients' willingness to travel abroad notably outside Europe. Turning to Slide 22. Sales from services were up 10% year-on-year in the first quarter 2020. The significant growth in both mobile and fixed sell from services was related – was relatively unaffected by COVID-19. Mobile revenues was up 9% year-on-year, driven by growth in the customer base and ABPU as well as the positive impact of incoming calls and SMS in line with an increase in voice and SMS usage. This did not translate into EBITDA after leases gain as interconnection costs were proportionately higher. Fixed sales from services were up 13% benefiting from customer growth in BtoC and BtoB. In the first quarter, mobile ABPU and fixed ABPU were up year-on-year. Mobile ABPU increased by €0.4 and fixed ABPU by €1.3 reflecting both the success of our pricing strategy in a less competitive environment. As shown on Slide 23, Bouygues Telecom delivered solid results in the first quarter 2020. Sales were up 2.5% year-on-year with a 10% increase in sales from services, partially offset by a 21% decline in other revenues. Two factors explain the decrease in other revenues. First, an unfavorable basis of comparison in build-to-suit revenues; and second, lower handset sales due to the mid-March store closures in France. We estimate that COVID-19 had an impact of €20 million on Q1 at sales. EBITDA after leases for the first three months was stable year-on-year at €299 million. I will come back to this in the following slides. At €68 million, the current operating profit was down €23 million year-on-year, due to stable EBITDA after leases and higher amortization costs related to higher CapEx as expected. We estimate that COVID-19 had an impact of around €10 million on the current operating profit in the quarter. This amount most probably reflect the cost of protective personal equipment, the cleaning of premises and specific safety processes put in place for the stores to reopen after the lockdown. Operating profit of €70 million was down compared to the same period last year due to lower current operating profit and the lower volume of site disposals versus last year. Let's now focus on the changes in 2020 EBITDA after leases on Slide 24. The waterfall on Slide 24 of highlights the change between Q1 2020 and Q1 2019 EBITDA after leases. Please note that all figures have been rounded. The charges year-on-year are explained by several items. First, an increase in sales from services of €100 million, including around €10 million for higher incoming call and SMS revenue. Second, the perimeter impact of Nerim on sales and cost as Nerim was consolidated as of Q2 2019. Third, an increase in costs related to ongoing activity. This includes €10 million of additional interconnection costs, resulting from the growth in mobile force usage and a €50 million increase in recurring OpEx related to the site and FTTH premises. And expenses linked to customer experience improvement. This increase of €50 million year-on-year should be similar in the next three quarters. Fourth, the reporting of higher tax notably related to the densification of the network IFRIC 21 taxes are recorded every first quarter only. And finally around €30 million of non-recurring OpEx consisting mainly of bond on advertising expenses and costs related to COVID-19. This increase of €30 million year-on-year should not occur again in the next three quarters of 2020. Therefore, excluding Nerim and incoming calls or SMS revenue would have been up around €90 million compared to an increase of around €50 million in recurring operating expenses. As a conclusion, as shown on slide 25, I would like to give you some colors on the progressive reopening of our business activity in France. First of all, the lockdown did not prevent us from continuing to manage our infrastructure partnership project. As a reminder, we concluded a partnership with Phoenix Tower International to deploy 4,000 sites in non-dense areas. The closing of this transaction was concluded during the first quarter and we began implementation of the rollout. As we already shared with you, we also signed two agreements regarding our projects Saint Malo and Asterix. One agreement is with Cellnex for the rollout of fiber backhauling network whose financing is now almost completed. The closing should be done by end June. The second agreement is with Vauban Infrastructure Partners for the rollout of the FTTH in medium-dense areas whose financing process is on track. Since Monday, we started the progressive reopening of our activities and 470 stores out of 500 are already back in service. All the necessary safety measures have been put in place to protect our employees and customers. However, at the beginning, we do not expect a customer rush in our stores as was seen in other European countries. We have also gradually restarted our FTTH rollout and we expect a strong increase in FTTH. BtoB growth should be supported by the increasing importance given by companies to the reliability and quality of telecommunication networks. It will also depend upon the pace of the recovery. However, many uncertainties remain regarding roaming depending on the timing of the country borders reopening and the clients willingness to travel abroad.
Pascal Grangé: Thank you, Christian. Now I would like to briefly comment on the financial statements starting on slide 27. We have already discussed Q1 2020 revenues and current operating profit at the beginning of this call. Other operating income and expenses were down €13 million compared to the first quarter of 2019. This change is mainly explained by the lower volume of site disposals of Bouygues Telecom with €3 million in the first quarter 2020 versus €12 million in the first quarter of last year. Cost of net debt decreased by €11 million year-on-year due to lower interest expense on our bonds as we reimbursed a bond issue in October of 2019. Regarding income tax, we benefited from a higher tax savings resulting from the increase in operating loss in the first quarter. The effective tax rate was 28% in Q1 2020 compared to 25% one year ago. Lastly, the share of net profit of joint ventures and associates was €25 million, a decrease of €12 million year-on-year and it included a contribution from Alstom of €35 million, which was nearly stable with the previous year, despite the sale of part of our stake last September. We will now turn our attention to the group priorities in this changing context on slide 29. Bouygues is in a good position to face this unprecedented crisis, thanks to its strategic choices and its strong culture founded and social dialogue. First, the group benefits from a portfolio of diversified activities with Bouygues Telecom more resilient in the current environment. Second, all activities are well-positioned in markets with positive medium to long-term prospects as they respond to essential needs. Third, as I have already mentioned before, the group benefits from a strong balance sheet and a solid financial position. And above all, we can count on 130,000 committed men and women, in France abroad their dedication is notably established through social relationships based on a permanent and fruitful dialogue. As shown on slide 30, ensuring the safety and security of all employees, subcontractors and clients remain our first priority. This is a crucial starting point to resume our activities. We put in place a wide spread application of work-from-home since mid-March, and in the past several weeks we have implemented all the necessary procedures to provide our employees a safe return to work. Mitigating the impact of the crisis of the sales and profitability of our group is our everyday job. To achieve it, we benefit from the variable cost structure of the contraction activities, but it is not enough. The business segment also need to execute a strict discipline on costs, launching saving plans and adjusting CapEx spending. Our business segment have been very proactive in planning and reorganizing the business for reopening. In France, thanks to an agreement signed with the Unions, employees paid vacation have been partly allocated to April to facilitate the catch-up of activity during the summer. Lastly, in order to maintain a high level of available cash, we have renewed our medium and long-term credit lines without covenants and issued €1 billion bonds in mid-April with attractive financial conditions. To conclude this presentation, let's now turn to Slide 31. Let me remind you that on the 1st of April, Bouygues announced first withdrawal of the 2020 guidance for the group the construction businesses and TF1. Second the suspension of Bouygues Telecom 2020 objectives. And third, we confirm the group 2030 Greenhouse as emissions reduction objective with the definition of a target competitive with the Paris agreement and drafted an action plan for the group side business segments. As highlighted on Slide 32, as of today the full year impact of COVID-19 on the group the contraction on TF1 remains uncertain. Due to the lack of visibility and business reopening the catch-up productivity and the outcome of the current crisis it is too early to give any new guidance. Furthermore, Bouygues Telecom maintains the suspension of its 2020 objectives notably due to the lack of visibility on norming usage and revenues related to reduced travel outside Europe and containment measures. While first quarter 2020 reflects -- results reflected the initial effects of the COVID-19 pandemic, we expect a greater impact on Q2 results for the group and in each activity due to the ongoing health crisis in France and restrictive measures expanded to new countries. Before I finish, I would like to stress that the group has reacted very quickly to face this unprecedented crisis. Our first priority has been to secure the health and safety of our employees, subcontractors and customers. We promptly started to organize return to work in all our cities, beginning even before the end of the lockdown. We are – we made mass purchase of personal protective equipment. We also negotiated with the government and professional organizations to ensure that with the protocol put in place, our employees were safe on worksite to restart the activity under the best possible conditions. Furthermore, we signed a group ride agreement with our Unions to facilitate catch up at least part of the activity shortfall during the summer. Finally, while obtaining the consent of our clients we made sure that our supply chain allowed us to start. At the same time we renegotiated our credit facilities and issued a bond with attractive term to secure our own liquidity which remains at a very high level. Three days towards the end of the lockdown, 90% of Bouygues reconstruction on Bouygues Immobilier sites and 85% of Colas work sites have been restarted. All big telecom stores have reopened with the exception of those in large shopping malls which are not authorized to do so. Bouygues Immobilier will reopen it sales office on Monday and TF1 is also restarting on Tuesday. Moreover, productivity is strongly improving after some initial setbacks due to the implementation of health protection measures. Our next steps are; to return to a normal level of productivity; to catch up the shortfall in activity as much as we can during the second half of the year; to negotiate with our clients in order to minimize the impact of COVID 19; and last to keep a tight control of costs, reducing street on costs and identifying new sources of savings in each of our business segments. In conclusion, this crisis will allow us to improve our approach to working and to strengthen our agility. I firmly believe that, the group is well prepared to handle this situation. And that we will be able to bounce back. Thanks to the dedication and creativity of all our people. This concludes my presentation. Please operator, open the floor for questions.
Question-and:
Operator: [Operator Instructions] Thank you. So our first question coming from the line of Nicolas Cote-Colisson calling from HSBC. Please go ahead.
Nicolas Cote-Colisson: Thank you. Good morning. My first question is on construction and related to the high order book in the Construction business. Obviously, you've signed some contracts, that you have now extra safety cost and certainly lower productivity. So, how do you protect the margins for 2021? Were you actually able to pass some of the cost to your client in Hong Kong for example? My second question is on Telecom in the B2B market. First on the current situation, are you experiencing any issues with payment delays? And how do you assess the risk of SMEs, going out of business? And maybe for the medium-term with the COVID crisis, does it make you reassessing the B2B strategy maybe offering more services and security or cloud services, possibly through more acquisitions in that field? Thank you.
Christian Lecoq: Nicolas, I will -- this is Christian. I will answer to your two questions about Telecom. First I would like to remind you that our exposures, the B2B to SMEs is very low because our market share is very small. Given the exceptional context of the COVID-19, that's right, that we have adjusted our collection procedures. So as to not to cut customers lines during the crisis. And this could lead of course to an increase of financial report at the end of the year. But we think that remain very -- at a very low level. And about bankruptcy, we do not see for the moment any bankruptcy in this year. Your second question was about B2B strategy. We are working to -- of course we -- during the crisis, we have been able to propose to the -- some companies, some new services. I don't know exactly the kind of services. But I know that the marketing guys do that. And we are working also for this period to push on the B2B.
Pascal Grangé: Back to your first question, concerning construction and extra costs related to the COVID-19. What I can say, first of all, we are quite early in the process. Obviously we have started the discussion with all our clients, in France on Bouygues. It is I would say, that it is one-by-one discussion, except in France where we have a discussion with the public authorities concerning, these impacts of extra costs and the lack of productivity, less productivity, due to the measures we have taken. So we are starting the process. Let's say also, that at Colas level we will be able to pass-through these extra costs to the client very rapidly. Because the backlog is -- the duration of the contracts are quite short. So when we are billing -- when we're billing, now we take into account these impacts. And by construction, we will try to get compensation from our clients. It is negotiated at the present time. But we have a global discussion for public clients in France.
Nicolas Cote-Colisson: Okay. Thank you, Pascal.
Operator: The next question coming from the line of Mathieu Robilliard calling from Barclays. Please go ahead.
Mathieu Robilliard: Yes. Good morning. And thank you. I had a question on the, Telecom service revenues first. You posted a very impressive performance with a 10% growth which was much higher than previous trends. And also higher than the guidance you had initially released. And I was wondering, whether this number was surprise to you to some extent? Or will you actually expecting a very strong Q1? Or were you just being conservative in your guidance for the full year? I understand there's a bit more SMS and voice as you pointed out, but it doesn't seem to be explaining the variance there? And then I had a second question on the construction side. You mentioned that around 90% of the site Bouygues Construction in Immobilier have reopened as well as 85% at Colas. But can you give indication as to what, kind of, level of capacity utilization are at because obviously reopening is not the same thing it's looking at full capacity. And I don't know if it is too early for you to communicate on that, but if you could give us a sense of today, what is the kind of capacity utilization versus ex-COVID world situation? Thank you.
Christian Lecoq: So about your first question about Telecom. Keep in mind that in Q1, we had two specific effects, the first one as you mentioned is the SMS and call -- incoming call and SMS revenue. The second one is, narrowing, narrowing was not consolidated in Q1 of last year. But except these two items that's right that the performance was very good during the first quarter for the revenue. This is due mainly to the -- of course the increase of number of subscribers and better ABPU than it was last year or even I think at the end of last year. So, it’s a good performance. We are very happy of that. It's a bit better than expected
Pascal Grangé: Concerning your question related to construction, I would say that in terms of productivity, we are progressing very rapidly every week. In fact the first week of April -- the third week of April when we restarted activities, the productivity we have a level of was very low. Site was started, but we were -- in fact we were in the learning curve approach. So productivity was quite low. In terms of the lack of productivity exists but it's not so important. In terms of building the activity is a lower due to the fact that there is a lot of activity in site. So it's more difficult to organize, but we are also progressing every week significantly. Let's say that as of today, I would globally in civil work, we’ll be at about 80, 90 in the -- for the building around 50%.
Christian Lecoq: Thank you, Mathieu.
Mathieu Robilliard: Yes, thank you.
Operator: Our next question comes in from the line of Eric Lemarié calling from Bryan Garnier. Please go ahead.
Eric Lemarié: Yes, good morning, and thank you for taking my question. First question, regarding Bouygues Energy and services. Could you tell us the level of the operating margin in Q1? And could you remind us still for Bouygues Energy and services, the key end markets, did you observe some specific resilience for some end markets? I am thinking about hospital or nuclear sites. I don't know if Bouygues Energy works with these markets? And I got the second question on the breakdown between fixed and variable cost with the construction activities again. You mentioned the benefit of variable cost structures for construction. But could you remind us the split between fixed and variable costs for each of your key construction division please? Thank you.
Pascal Grangé: Yes. Of course, concerning the -- probably your first question was related to the profitability of our -- the energy and services division. Globally during the period the profitability has been of 0.9%. But excluding the COVID impact, it would have stood at 2.8%, which reflects the improvement of this business margin as already initiated last year and that we have -- which is our plan in fact. So we are at this level we were expecting excluding COVID. The second, you had these resilience concerning activities. You mentioned precisely the activities, which has not been locked down, which are the maintenance of equipment for essential buildings. You mentioned two big buildings. Hospitals and nuclear plants, obviously, these activities has continued. But our mix of activity, it's not a so huge part. So this is the reason why the impact on profitability is what it is.
Eric Lemarié: Yeah. Thank you.
Pascal Grangé: The third question was related to the fixed and variable part of our construction activities. Let's say that, we have to design by activity. In introduction, I would say that our structure of cost variable, but it's -- the situation we are facing is very particular. This is very particular, because when we generally -- when we say that our activity is that means that when the market goes down, we are able to adapt our structure to make sure that our level of structure is adapted to the actual level of activity, in the present situation, we are facing a situation in which we have to maintain the structure to be able to resume activity at the level at which was expected before. So this is -- we are covering a period in which for a very specific reason we have suspended activity. In this context, what we pay, what we don't pay. Obviously, we pay the structure even if we have partial unemployment. But we pay also amortization and we pay also ranking of equipment and so on and so forth. And in that particular context obviously the variable part is lower than it is generally when we see -- when we say that the activity is viable. We have been very proactive to manage that period and we have put people under employment during the second part of March, essentially within big construction in Colas. And the variable -- we can say that for this period, let's say, that the variable part is two-third of the global activity. Am I clear?
Eric Lemarié: Okay.
Pascal Grangé: Am I clear?
Eric Lemarié: Yes. Yes. Thank you very much.
Operator: The next question comes in from the line of Giovanni Montalti calling from UBS. Please go ahead.
Giovanni Montalti: Hello. Hi. Thank you. Can I ask if you can share some comments with us about the ongoing competitive dynamics in the French telco market? In particular, there have been some, let's say, up and down with pricing for entry-level data and mobile. I don't know if you can share with us some thoughts there? And also on your EBITDA analysis in slide 24 for the telecom unit. I see you do not include the revenue change for others. So I was wondering if that means that you see no profitability from this type of revenue line? Thank you.
Pascal Grangé: Yes. So about your second question, as usual, the revenue -- the other use do not generate any profitability. This kind of revenue is handset revenues. So this is a cost for us. This is a subsidy. And we take in entirely the net impact for the subsidy, which is the new minus the cost of the handset. And the other part mainly is the build-to-suit revenues and the margin for the build-to-suit revenues is very small. So. no impact coming from that. Your second question was about.
Giovanni Montalti: Sorry if I interrupt that because -- I mean, you have never given any clear indication on what's the level of profitability of the, let's say, build-to-suit…
Pascal Grangé: Very smaller.
Giovanni Montalti: So I should have considered there are €70 million less. I mean, obviously, big part is answered, but there is something on the project as well.
Pascal Grangé: Yes, yes, yes.
Giovanni Montalti: We should think it is the profitability of this project is something immaterial, let's say, is this the right way of looking at it?
Pascal Grangé: This is immaterial. Nothing.
Giovanni Montalti: Okay. Thank you.
Pascal Grangé: Your second question was about the competition in competitive environment. So before the lockdown the competitive environment was the same as at last year. So very, very good competitive environment, price going up, no a little bit of promotion, small level of promotions. Since the lockdown the situation has been quite different for the low end part of the market, because we saw some -- a bit more promotions than before, but we are not at the same situation than in 2018 or before. The impact is very, very limited. For example, we didn't see any pricing at €5 for life than before. Just that what was probably at €15 is we had some promotion at €12 for example during three weeks. This impact is very limited and we expect that we will come back to the situation before the lockdown now as the shops are now reopening.
Giovanni Montalti: Sorry apologize. The line was breaking down. You said, you think you – the market may go back to the situation pre-lockdown?
Pascal Grangé: Yes, yes, yes because the level of promotion was very – a bit higher during the lockdown, but the impact is very limited. It's only a few months of promotions and not big promotions at five years for life, two years ago or even one during 12 months in 2015 or before. So we did not see that during the lockdown.
Operator: Thank you. The next question comes in from the line of Josep Pujal calling from Kepler. Josep, Please go ahead.
Josep Pujal: Yes. Good morning. My first question is on the €150 million of costs that you consider had the COVID in Q1 for you. I wanted to know, if the impact yeah, I wanted to know, if we are talking here simply of the lower sales and the impact that it has to – yeah, it becomes more difficult to absorb fixed costs or on those €150 million where there some I would say one-off costs like I don't know maybe buying computers to accommodate teleworking for your employees or buying one-off a lot of – I don't know masks or either alcoholic. Is there something which was done let's say once and for all? Or we can extrapolate this €150 million and consider that two weeks of lockdown means €150 million and we can apply that to April and so on. That's my first question. The second question is regarding, what you said before that in the new bidding process in construction you are passing this extra cost to the customers. My question is on average, how much in percentage do you increase the bill by division? Yeah at Colas at construction and if you can give more flavor on that so what is generating those extra costs and so on? Thank you.
Pascal Grangé: Concerning your first question on how we evaluate how we did to estimate the amount of the impact of COVID during the first quarter. During the first quarter in fact, it's quite easy to understand what we did. We have included in that the cost of stoppage of which we have of activity, of which we have already compensated with 16%. We have included the 16% of extra costs for people which were under partial unemployment. You know that people are generally paid of 85% – 84% of their wages, when they are under unemployment scheme. And we have decided to compensate our people for that. So it is obviously an extra cost. We have the cost of a slowdown of the activity. Obviously, we have the cost of purchase of masks, gloves, thermometers and so on. And we have the cost to – which is related to the gradual restart of activity. So this is a mix of all these items, which are not totally linear I would say. Obviously, the cost of masks will be linear during the period during, which we will be obliged to have mass and so on. But some are one-off, but our figure is a cumulated figure. The second question you have were related to – for the future how will be there? In fact, as many of the sectors are uncertain, when we did, we have – it depends on each – on each contract, but we can say in general that it is not a lump sum price that we indicated for that. What we aim to do it's not always the case. But what we aim to do is to say okay we have during a certain period, but we don't know how long it will last time. During period, during which we will have some extra costs. So clearly, we'll have a compensation close in fact for that. It's not a lump sum. So I can't say, what will be the – how much it will represent, because we don't know how long it will last. Am I clear?
Josep Pujal: Yes, it's very clear. If we assumed a contract which is short enough that all, during all the life of the contract, you are impacted by these extra costs. How much would it increase? Yes, if we talk for example Colas, a Colas average contract how -- in percentage, how much more expensive it becomes? Does it increase by the 3% by 10%. It's just to have the order of magnitude. Yes, I do not ask you to be very precise but – yes, to give some flavor on that would be appreciated please?
Pascal Grangé: I'm very sorry that it's strictly impossible at that stage. Please remind that the confinement has topped three days ago. So it's very, very too early to give any flavor in that respect. I'm sorry. We are unable to do so. It depends on each contract, on each activity. Obviously, I told you the activities are quite different. Obviously, when we have a man just a man who's working in an equipment, it's very small. If we have many people in a very small area, obviously the amount would be far more important. So no sorry. I have no average figure for that.
Josep Pujal: No. I fully understand. It matches the figures that we have heard here and there which go from 3% to 15%. So I fully agree with you that it's very difficult at that stage to see what will be the reality. Thank you very much.
Pascal Grangé: Thank you.
Operator: The next question comes in from the line of Andrew Lee calling from Goldman Sachs. Please go ahead.
Andrew Lee: Yeah. Good morning everyone. I had a couple of questions. The main one was really on the telco business and why you felt you couldn't reintroduce guidance on that part of the business, when we've seen your peers do that or in recent weeks. Is it due to your B2B exposure? I thought that your B2B exposure is lower than peers and particularly your SME portion of that? Or is it a difficulty in mitigating the impact of the COVID revenue impact with cost reduction? Just any color on that uncertainty would be really great? And then secondly, I wondered if you could just give a bit more of an understanding on the Immobilier trend in Q1, it looked a bit worse than what your competitors have been showing which has been an improvement. Any kind of color on the difference and why we should be confident in an improvement in Immobilier through the rest of the year would be great? Thank you.
Pascal Grangé: So about your question about telecom. First of all, I will remind you what are the financial impact of COVID-19 for Bouygues Telecom. The first one is lower net adds due to the slowdown in the -- in market growth and also in -- for our growth. So it could lead to less revenue in the future. So the impact will be a deferred price increase in our more for more strategy. So we have decided to delay some price increase during the lockdown. These two effects will be compensated by lower acquisition or retention costs during the lockdown. So the impact on EBITDA of these two effects will be very small. However, I remind you that the impact of handset subsidy cost will not be immediate since they are spread out over 24 months due to IFRS 16. But you have to add to that the impact on roaming. Roaming represents today 3% of our total revenue. So this is a quite big portion. And we have a lot of -- lack of visibility on our roaming revenue. And in face of this roaming revenue, we have no cost or small cost, no possibility to offset this kind of loss. Of course, it would have been theoretically possible to maintain the guidance by cutting the CapEx. But by doing that, we would have been -- we will take risk on the quality of our network in a period when this quality is very important for our clients. In a period when the need of capacity is much higher than in the past, and so we decided not to do that. We will see in the future if we need to invest more or not in the capacity of our network. During the lockdown we benefited from the slowdown of course on the construction of site. So we save some CapEx during this period. But now we have to think and to see if we need to invest more capacity on our network. We don't want to take any risk on the quality of our network, because I remind you that the quality is a key point of our strategic point of our strategic plan and we do not want to lose all the benefits of our strategic plan that we began two years ago just to save a few dozen million euro this year. This is strategic. This is not -- it has been very easy for us to keep the guidance by cutting CapEx. But strategically, it's not a good solution.
Andrew Lee: Thank you.
Pascal Grangé: As far as your question related to Bouygues Immobilier commercial residential reservations effectively down. In fact it was expected. We knew perfectly before the COVID crisis that before elections, we will have very few reservations due to the fact that we have a low available supply. So, we are not surprised about that. Obviously, the COVID-19 has lower that situation. I said that there is two periods and there is a period before the municipal elections for which obviously, we have lands, we have applied for permits, but we know perfectly that we won't have the permits before the election. So, obviously, the COVID-19 is for two reasons bad news, but it's life. The first reason is the fact that during the confinement period the reservations have been very low. And secondly, we know perfectly that our supply will be higher when after the elections and the elections are postponed. We don't know if it be in June or later. Obviously, if it is later, it's not a good news for Bouygues Immobilier. So, we will see after the election. We have land, we have applied for a permit, and we have the opportunity to restart on being in the situation which is far better.
Andrew Lee: Thank you. That's very helpful.
Operator: The next question comes in from the line of Stephane Beyazian from MainFirst. Please go ahead.
Stephane Beyazian: Yes. Thank you. Could you make a word? I know it's very difficult, but is there anything you see in terms of tenders and pipeline in construction? Are we starting to see anything yet on the momentum for infrastructure plans? Or what's happening with the hospitality industry for instance? And is that very significant in the pipeline? So, any color you could further on the construction pipeline would be appreciated. And just a word also on telecom just sorry to come back on this one but just to understand if the deceleration in EBITDA growth you would say is entirely therefore due to the roaming that you mentioned. The reason I'm asking the question is because the slowdown at Bouygues Construction despite the strong network sales some savings you've made in marketing and the roll of employees it's probably greater than what we've seen with some of the telecom operators. So, I just want to make sure I'm not missing something there such as consolidation of nearing that could be negative margins or anything special? And just a third if I could anything you could say on the impact of oil prices for Colas? Thank you.
Pascal Grangé: So, just to remind you that the impact of EBITDA is the fact that our EBITDA is stable is mainly due that we had this quarter €30 million of nonrecurring OpEx. We won't have these OpEx the next coming quarter. About Nerim you saw on the slides I think 24 I think that the margin for Nerim is quite zero for the first quarter. So plus €10 million in sales and around minus €10 million in cost. So, about the rest I think the slide is quite clear. And the roaming impact is very small during Q1 because at the beginning of the lockdown we still had some people aboard trying to come back in France. I'm not able to do it. So, they used a lot with their phone. And the roaming -- the level of roaming Q1 2020 compared to Q1 of last year, the level of roaming is stable and it represents around 20% of our roaming objects in Q1. Back to your question related to construction, as far as our backlog -- our pipeline is concerned; let's say that the infrastructure needs remain very high, so both in France and abroad. Obviously during the confinement period, there is some delays which has been introduced in the procedures in order to award the contracts, but generally speaking, the pipeline is not as of today affected by the COVID-19. We will see what happened later. But because it will be two impacts, obviously there will be probably a budgeting issue for certain people. But I remind that our business is quite important because when government want to do a steamless plan, you have to -- the major activity which is concerned it generally infrastructure and building because, they have some levies in order to accelerate the global activity in that respect. In France, nothing very important has been decided yet, but there is already €1 billion for sustainable infrastructure which has been announced. In Europe, there are some other stimulus plan. If you consider for instance U.K. in which they have decided to do the HS1 project. I mentioned before that we have been awarded a €1 billion contract this month in that respect in April, sorry. And I would say that the U.S. it's totally massive. So we are sure that we will benefit from all these singles plants, right? But frankly speaking it's quite early. Sorry, it's my favorite answer today but we are in the middle of the sanitary crisis. So people -- we are managing first resumption of activity, but government do so. So it's not very surprising. The second question was related to the oil price at Colas, so we have combined impacts in that respect. For construction, obviously, it's a good news because as the public budget for instance are not extensive. If we pay a lower price for bitumen, it's a good thing. And if we have already contracted with our client and we pay lower price for bitumen. It's a good news for us. So good double good news. The sole impact we have is the impact in the activities -- the activities of producing and trading and in that respect it's -- for -- we are very -- in very specific situation at the end of March because the price was probably at the worst period for evaluating stocks this is the reason why we had a slight impact -- we had impact in Tipco but this impact will be probably compensated at least for part of it during the forthcoming quarters. But there is no impact at the McAsphalt for the McAsphalt activity as the index has remained very stable in this area.
Stephane Beyazian: Thank you.
Pascal Grangé: Thank you.
Operator: The next question comes in from the line of Nawar Cristini calling from Morgan Stanley. Please go ahead.
Nawar Cristini: Thank you, very much for taking my questions. I have two questions please. Firstly, just a quick follow-up on B2B. Could you help us have a better view on the B2B exposure? How much of the revenue is exposed to B2B? And then on the dividend, could you please discuss the main elements you'll be looking at when assessing the dividend around July, August time. A bit of color on the thinking process would be much appreciated there?
Pascal Grangé: So about your first question, I'm sorry but we do not disclose our part of B2B revenue in the total revenue. Just to give you some flavor. Our market share is around 30% in the mobile -- for the high-end part of the market for the big companies I would say in the mobile. For the SME, we are around 10% in the mobile. And in the fixed business, we are around 5% either for the SMEs and the big companies. So you see that our market share is quite small, especially for the SMEs. Concerning dividends, I remind you that the decision we took during the month of April was not related to the financial structure of the group. As I explained before, the structure of the group is very solid. And we do not have any hesitation or question concerning this in the forthcoming period. So our decisions, Martin decided to propose his board not to propose this dividend, due to the fact that we were in the middle of the financial crisis. So with some very sad news every day on the newspaper on this and so on and so forth, so this was the driver of the decision. So what we will do in end of July or beginning August, is that we consider where we will stand in terms of resumption of activity, where we'll be the sanitary crisis in which countries, where we will be affected not in the past. But what will be the future visible at that date. And we will decide on that with these elements.
Nawar Cristini: Thank you very much.
Operator: The next question comes in from the line of Jerry Dellis calling from Jefferies. Please go ahead.
Jerry Dellis: Yes. Good morning. Thank you for taking my questions. My first question has to do with productivity. You mentioned that on building sites, productivity is currently running at around 50%. And I just wanted to understand how we translate that into your financials? Does 50% productivity imply that revenues are falling, are running 50% below normal levels? On the basis that revenue is presumably generated or linked to delivery milestones. And on the cost side, I mean, what does 50% productivity sort of really mean? The costs still run at sort of 100% of normal levels? Or what would the linkage be, please? And you mentioned getting back towards sort of full productivity. And I wondered what you think has to be achieved in order to get there, given that the additional safety costs and social distancing measures are unlikely to go away, how realistic is full productivity, would there be an incremental ongoing costs associated with that? And then, very finally, if I may, would it be possible on telecoms to comment as to how much your churn is down during the period of lockdown please? Thank you.
Pascal Grangé: Okay. I will answer briefly to your question on telecommunication. Of course, the churn was much lower during the lockdown. So the sales was lower and the churn was also lower. As far as productivity and construction is concerned, let's say that, obviously, the figure which we just mentioned is a combination of all factors. Obviously, there are the health and safety measures which are taken in order to protect our employees, but it integrates also. It's very, very important, the availability of the supply chain and subcontractor. I told you that we organized big construction to restart as soon as possible and our construction as soon as possible, but we have been very productive. We have been buying some masks in China during the third week of March, which has been delivered at end of March in France. But I would say that, it was blocked by the French authorities, which have taken part of this for their own needs. But if you consider this situation for us, it's not always the same for our supply chain and for our subcontractors. This is part of the reason for which the profitability is -- the productivity is quite -- is affected at that stage. But this is progressing very deeply week after week and we expect from the end of confinement, which is very recent, is that this will boost rapidly the activity of our building activities. And this is what we have seen during the past weeks, there is no reason specifically to have a curve which not -- which will be better week after week. This -- we are convinced will be better. The second question you had in that respect was how to convert this lower activity with our turnover obviously, we are paid when we can invoice, when we deliver. So as you see, this is directly linked to our turnover.
Jerry Dellis: Sorry. Thank you for that. And on the cost side, how are the costs related to lower productivity? What sort of tailings are available relative to the normal cost base when you're running at 50% productivity? Given your earlier comments that you are maintaining the capacity to get back to normal.
Pascal Grangé: So we have not -- we have not an impact on productivity of 50%. This is the current level of activity on site. But this is -- the activity is low, for instance, because subcontractors are not there. So when we don't have the turnover, we don't have the charges which are related to that. You understand what I mean.
Jerry Dellis: Yeah.
Pascal Grangé: Yeah. As to the question I answered, I answered before, which was related to the part of variable on fixed costs. And the part which is related to the productivity is far lower fortunately.
Jerry Dellis: Got it. Thank you.
Operator: The next question comes in from the line of Frederic Boulan calling from Bank of America. Please go ahead.
Frederic Boulan: Hi. Good morning. Two questions on my side. Firstly, in terms of free cash flow. So can you go through the measures you're taking in terms of free cash flow preservation? Your working cap was not that different to last year. So, it doesn't seem like there was a big impact at this stage, but if you can go through what you expect? And can give us -- I mean it's probably a bit early for a specific guidance, but considering what you've seen in March, April, May, do you have kind of a range of different scenarios you've done in terms of free cash flow or net debt for this year? And then, secondly following on Nawar's question on the dividend. If you could explain a little bit what other criteria for you to take that decision? And what's the framework for the ordinary dividends, for special dividends, can you actually do that considering the French government is asking every company took a dividend by one-third? So, what's the criteria? Is it based on free cash flow generation in the year? Or is it based on your confidence in free cash flow generation in the next year? So if you can help us a bit on your decision tree here. Thank you.
Pascal Grangé: Okay. Starting with the working capital question, let's say, you have seen that there is absolutely no impact of COVID during the first quarter 2020, which is related as far as the working capital is concerned. So no impact, no impact for a reason, which is very simple is the fact that when we work, we invoiced at the end of the month, let's say, and at the end of the month, the activity was lower. But, as we have always delayed the period to be played, there is no impact to -- this is too early. We think that we will have impact on working capital where a sort of distortion during the coming period, because we will have the impact of the lockdown period in which we have nothing to invoice, and we will have to pay suppliers and contractors for work they performed before. So we will have a distortion over time. This distortion will be corrected. I'm unable to say today what will be the period for regularization of that. But for sure, at the end of June, we will have a significant impact, which is related to the lockdown. As you -- as I mentioned before, we have abandoned our guidance. We didn't give new guidance, because we are not at the end of the same crisis. So it would be quite surprising to be able to give a new guidance. As we don't know on which scenario we can base that guidance. You may -- someone mentioned before that, some people are doing some guidance fair enough, but we do have that price table. So we are unable to do so. It's too early. Frankly, it's too early. We are managing the sanitary crisis, we are managing the resumption of the activity and then when will be later we will be able to do -- to tell you more about that. But obviously, we will have -- as we mentioned the result of the year is affected. So there will be an impact on that. And there will be an impact on working capital, but we are unable to manage -- to tell you that today. So this is the reason why we do not give any guidance in terms of free cash flow. Your question related to dividends, I mentioned before what was the criteria. And if I have to choose when you mentioned several ideas obviously this is will be -- this will be guided by our ability to generate cash flow on medium or long-term because obviously the year will be affected.
Frederic Boulan: Okay, thank you very much.
Pascal Grangé: Okay. Thank you
Operator: So we have another question. Appologies please go ahead.
Pascal Grangé: Just you mentioned also what I've said the French government in terms of -- in terms of dividend, I remind you that they said precisely that unemployment measures was not the measures which will induce the possibility to pay dividends. This is related to tax postponement payment -- postponement and credit lines which has to be guaranteed by the government which is absolutely not the case or the Bouygues Group. I mentioned that our situation is very strong. Obviously, we didn't see any help from the government in order to support our financing. So we are not in that case. So we have no -- this is not a criteria for us.
Frederic Boulan: Okay, great. Thank you
Operator: We have another question coming through from the line of Eric Lemarié calling from Bryan Garnier. Please go ahead.
Eric Lemarié: Yes, thanks. Just two quick follow-up question for me, please. The first one you mentioned that currently 2/3 of your costs are variable due to the pandemic situation. What was that? Yes in average. And what was that figures before the pandemic, let's say last year? This is my first question. And the second question, I understand that actually a lot of Mayor in France have been elected after the first round of election in France and that Citycon fields should be able to be put in place as soon as the 18th of May, so very soon. Do you expect some positive impact from that let's say for instance as soon as June?
Pascal Grangé: Answering your second question, first. Yes obviously the fact that we will have municipal council which is a good news. But if you have to take in mind two different things first, generally people which are elected at the first round are small municipalities where we don't have the major part of our activity. And the second part even after election, it will take a bit time to restart. So no massive impact related to that decision. Secondly, concerning the cost structure -- the cost pressure there is no difference -- major difference in our cost structure before and after COVID crisis. This is general. What I mentioned before is the interruption of activity related to COVID allows us less flexibility than when the activity is decreasing due to a market factor because when we are adapting our structure for our market, we are able to adapt our structure for a market factor. But in the precise case, the interruption of work during some weeks, we have no impact on our backlog. So we will have to deliver the backlog, which is at a high level. So we – obviously, we couldn't -- we adapt our structure to a level of activity which will be maintained. Do you understand what I mean?
Eric Lemarié: Yes, yes, yes. I think so.
Pascal Grangé: What we do, we are making efforts in order to select our -- we have some spendings, which are related to some projects. Obviously, this year we will suspend some projects which are not strategic. We will maintain strategic projects. And Christian, for instance, mentioned that before, but we will be very selective this year. I would say a bit more than selective than usually.
Eric Lemarié: Okay. Thank you. 
Operator: The next question comes from the line of Thomas Coudry calling from Bryan Garnier. Please go ahead. 
Thomas Coudry: Yeah. Thank you very much. Two questions on telecom please. The first one is a quick follow-up on the COVID-19 impact on the telecom business. You mentioned that you have a €20 million revenue impact and €10 million current operating profit impact. I just want to understand what part exactly falls into the -- as an EBITDA impact over the quarter? And that seems like, let's say, high conversion ratio from revenue to current operating margin of 50%. In spite the fact that you said that roaming did not have an impact on the quarter. So I'm trying to understand how we should extrapolate that over Q2 as the revenue impact will be higher? Should we expect like at least a 50% impact falling right down into the current operating profit? And my second question is on network sharing agreements. Actually Iliad requested likely an extension of its roaming, a grid national roaming agreement with Orange. I'd like to know what's your reaction to it? And more generally speaking, do you think that the COVID crisis might have an impact on the regulatory stance and politics as far as network sharing agreements are concerned. And would you expect, I mean, regulation to be lighter on this point with the objective of having wider network sharing agreements over the French territory? Thank you very much.
Pascal Grangé: About your third question, about roaming agreement the extension of roaming agreement between Free and Orange is about 2G and 3G technology. So the impact is -- no impact for us, I would say. Of course, we will have preferred that this roaming agreement stopped, but it is not the case, but it is not a problem. About regulation. We will see I don't know about that. Today the government is mainly managing the sanitary crisis and I don't think they have any time to think about that. The beginning was about the impact of other revenues I think on EBITDA. So I remind you that the other revenues has no impact on EBITDA. So -- a very small.
Thomas Coudry: Sorry. Excuse me. My impact was on the COVID-related impact sales is negative €20 million. It turns out in the current operating profit of €10 million especially more or…
Pascal Grangé: So if – yes, impacts that. The minus €20 million is about other revenues not on cell phone services. The impact on cell phone services is in fact positive because we had more incoming calls due to during the lockdown So the minus €20 million is €30 million in other revenues and plus €10 million in cell phone services. And the minus €30 million in the other revenues is coming from handset cell. And so the margin is of course negative on handset cell because this is supplies. Okay. So about the €10 million impact on current operating profit or EBITDA, so this is mainly cost is €10 million of cost. This is €5 million of buying of safety equipment for our employees and for the reopening of the shops. And this is also €5 million we have taken in precautions, because we decided at Bouygues Telecom to -- sorry, to pay our suppliers quickly. And also, we have placed to pay the invoices for the micro business. And that's why we -- professionally we took €5 million expenses on that.
Thomas Coudry: Okay. It's very clear. Thanks.
Pascal Grangé: You're welcome.
Operator: The final question comes in from the line of Mathieu Robilliard calling from Barclays. Mathieu, please go ahead. Hello, Mathieu, is your line muted?
Mathieu Robilliard: Oh! Sorry for that. Can you hear me now?
Operator: Yes, please go ahead.
Mathieu Robilliard: Yeah. Thanks for taking my follow-up question. Very quickly on the costs again, you highlighted, in slide 24, higher cost that you qualify as non-recurrent for brand and advertising. And if we take out maybe €10 million for COVID, that's €20 million for those, advertising and brand. It seems like a very large amount for a quarter. So I was wondering, if you basically entered into contracts and recognize some spending that will be actually spent really, during the whole year. Because I mean, living in France I haven't seen anything particularly strong in terms of new commercial portion in the last few months. And so, is it really what I just said? And second, when we look at this at the end of the year, you will be saying or the right presentation would be – well, we spent €20 million more throughout the whole year and that's kind of much more normalized. So, it's not a one-off. Hopefully, that's clear.
Pascal Grangé: Yeah. The €30 million is a one-off. I don't know if you are in France or not. But we launched a very big advertising company in January, for our new brand signatures which is launch -- not exactly a new brand, but this is a new positive marketing positioning. So we did that in January and February a very big, big, big campaign. And this is -- this campaign is here to support our quality program. At the same time, the quality program will of course continue. But usually, we do not have big marketing expenses for communication for the first quarter -- in the first quarter. And this year this is the case with this big marketing campaign.
Mathieu Robilliard: Okay. Thank you very much.
Operator: Thank you. That does conclude today's question-and-answer session. So I will turn the call back across to Martin Bouygues, for any final closing remarks.
Pascal Grangé: Thank you very much for joining us today. We will be announcing half year 2020 sales and earnings on 27th of August 2020. Should you have any questions, please contact our Investor Relations team. Their contact information is on the press release, on our website. Thank you.
Operator: Ladies and gentlemen, this concludes Bouygues First quarter 2020 results conference call. Thank you all for your participation. And you may now disconnect.